Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter 2013 Earnings Report. At this time all the participant are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. (Operator Instructions) And as a reminder, this call is being recorded. I’d now like to turn the conference over to Robert Gerry. Please go ahead.
Robert Gerry: Thank you, Linda, and good morning, ladies and gentlemen. And welcome to VAALCO Energy’s third quarter conference call. Joining us today is VAALCO’s new CEO, Steve Guidry; along with our President, Russell Scheirman; and Chief Financial Officer, Greg Hullinger. Before I introduce Steve and turn the proceedings over to him, please bear with me while I read our Safe Harbor statement. This presentation call includes forward-looking statements within the meanings of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Forward-looking statements are those concerning VAALCO’s plans, expectations and objectives for future drilling, completion and other operations and activities. All statements included in this conference call that address activities, events or developments that VAALCO expects, believes or anticipates will or may occur in the future are forward-looking statements. These statements included expected capital expenditures, prospect evaluations, negotiations with governments and third parties, and reserve growth. Investors are cautioned that forward-looking statements are not guarantees of future performance and that actual results or developments may differ materially from those projected in the forward-looking statements. These risks are further described in VAALCO’s annual report on Form 10-K for the year ended December 31, 2012, and other reports filed with the SEC that can be reviewed at www.sec.gov. Steve Guidry officially assumed the CEO position of VAALCO on October 21st, though he had spent the prior few weeks in our office familiarizing himself with all the internal and external operations and business of the company. All of us here at VAALCO are excited over the new leadership and speaking for myself, I’m most impressed with his knowledge of the industry, his high level of energy and his astute business acumen. I truly believe VAALCO has found the right individual to successfully guide us in our next phase of growth. Steve joins us after a highly successful career at Marathon Oil Company, where he covered the waterfront in a variety of positions with a strong emphasis on West Africa where as you all know VAALCO has a vast majority of its assets. Steve is a petroleum engineer, by training with operations his strong suit as he has served Marathon for a number of years as their Central Africa business unit leader, encompassing Equatorial Guinea, Gabon and Angola, countries in which VAALCO has a vital vested interest. He moved to Libya in 2009, where he became Chairman of the Waha Group, a joint venture between ConocoPhillips, Hess and Marathon. He returned to the U.S. to lead up Marathon’s worldwide business development effort where he had the lead role in the $3.5 billion acquisitions by Marathon of acreage in the core area of the Eagle Ford. I can tell you that not only is Steve a leader he is a team player and the Board is united in their belief that Steve’s background and leadership we will be the catalyst VAALCO needs to successfully build and grow the company for the benefit of all of our stakeholders. I will now turn the meeting over to Steve.
Steve Guidry: Thank you very much, Bobby. I appreciate that introduction. I’m very pleased and very excited to have joined VAALCO Energy and I look forward to working with the team as we move the company forward. As Bobby mentioned, my 32 years of experience, much of which was on the African continent, along with my time in M&A, I believe has prepared me well for the role of CEO at VAALCO. I have confirmed what I observed from the outset. VAALCO has quality assets, great people and a strong desire to grow the business. I’m excited about the slate of projects already in progress, the setting of the two platforms at Etame and Southeast Etame North Tchibala and the drilling of the six development wells, I believe provides the necessary resource development to continue VAALCO’s long established track record of offsetting declines at Etame. These projects will enhance the company’s production and cash flow providing the much needed liquidity for future growth. While we’re at the beginning of our process to formulate and validate and use strategic planning, I can tell you, that the strategy will include a more balanced growth focus. The strong reliance on growth through exploration drilling will make way for a more aggressive discovered resource acquisition strategy. Balance is what is needed to provide greater certainty on production and reserve growth from value accretive development opportunities. We will be sharing more details on this strategy with you in the coming months. Recognizing that our investors are most interested in the status of our plans to drill our identified exploration aspects at Angola and at Equatorial Guinea, I have an update that I think all of you will find interesting. Let me first began, however, by offering caution that we still do not have a completely clear path to begin drilling in Angola or Equatorial Guinea. However, we believe there have been some recent developments in each case that will demonstrate real progress. First, let me talk a bit about Angola, where as many of you know, we have been waiting on an assignment of the outstanding 40% participating interest in Block 5 to VAALCO in order that we could then complete the previous negotiated farm-out. We have received notice from the national concessionaire Sonangol E&P of their plans to resolve this issue of the unclaimed outstanding interest. We believe the actions outlined will occur in the very near future. Once complete, this will clear the way for VAALCO and its partners to begin mobilizing the necessary resources and equipment to Angola to carry out the two-well program. In Equatorial Guinea, Greg and I are traveling to Malabo on Sunday to begin working through an agreed compromise in principle with the national oil company GEPetrol to effectively share operatorship of Block P. If we are successful, this will place the block owners in a position to begin mobilizing resources and equipment to Equatorial Guinea to carry out that two-well program as well. While in Malabo, we will be meeting with the Minister of Mines and Energy, Gabriel Mbega Obiang Lima. I have worked very closely with the minister in the past on major projects in Equatorial Guinea and he and I are both very pleased to be working together again. In Gabon, VAALCO and its partners continue to have dialogue with the government about awarding the exploitation permit and approval of the development plan. We had meeting -- we’re meeting this week with our partner Total -- we had a meeting this week with our partner Total to clarify the differences we have in interpretation of the subsurface and to discuss the logistics of tying this discovery into their existing infrastructure. I will be meeting with the Minister and the Director General of Hydrocarbons next week on this matter as well. So that gives you a bit of a summary of where we are on the three exploration opportunities. I’d like to now turn it over to Greg Hullinger, our Chief Financial Officer for the financial report.
Greg Hullinger: Thank you, Steve, and good morning, everyone. Thank you for joining us on the call. I will take you a bit through our Q3 performance, as well as some year-to-date information. VAALCO reported net income of $2.4 million or $0.04 per share in the third quarter of 2013 versus $0.1 million or zero cents per share for the same period in 2012. Through the first nine months of the year, VAALCO’s net income stands at $16.7 million or $0.29 per share, compared to $19.6 million or $0.34 per share for the same period in 2012. Next let me give you a recap of some of the key drivers of the financial results in the third of 2013 versus the same period in 2012. Foremost at the top would be our Gabon crude lifting, we lifted essentially the same quantity in each comparative period. We lifted 337,000 net barrels in Q3, 2013 versus 342,000 net barrels in quarter two, I’m sorry, in quarter three of 2012, a 1% decrease. And in either quarter actually featured the late September lifting which then obviously set us up for of a four lifting quarter in Q4 as the crude purchaser has an end of year commitment to lift the available crude on board the FPSO. The sales price for the crude in quarter three of 2013 averaged $110.54 versus $107.94 in Q3 2012 that was the 2% increase. And then after you consider volumes and prices, which there wasn’t a tremendous amount of difference, the three principal movers were higher operating expenses, higher exploration expenses and lower taxes paid to the Republic of Gabon. More on those three items in a moment, but first let me take you to some information from the balance sheet. Unrestricted cash remains solid at slightly over $100 million combined with $13 million of restricted cash the company has combined cash of approximately $113 million. And as many of you know, the major component of restricted cash is the $10 million commitment to drill the two exploration wells on our block in Angola, as Steve just mentioned some positive news there that hopefully will get that program moving quickly and once we drill those wells that our restricted cash becomes unrestricted. Although cash is down from the comparative period of December 31, 2012, as you will see on the balance sheet, it’s not hard to see where the company has been investing. This year VAALCO has invested over $30 million for its share of the construction of the two new platforms being built in Louisiana for the offshore waters of Gabon. We’ve also invested approximately $11 million in new development wells offshore Gabon and we’ve spent nearly $11 million on treasury stock purchases thus far this year totaling 1.8 million shares. And in addition, we also expanded over $7 million on our share of work-over expenses to replace the electrical submersible pumps on three of our offshore development wells. Current assets at $127 million are down 15% from the end of 2012. As you would expect to see the decrease in cash and thus current assets is largely picked up in the property and equipment segment of the balance sheet. Property and equipment at $302 million is up 15% prior to DD&A. Total assets at $274 million are up 2% at September 30, 2013 compared to December 31, 2012. Moving on to revenues, although revenues in the third quarter of 2013 were very similar to the third quarter 2012, revenues are down significantly when looking at the full nine months of 2013 versus the first nine months of 2012. Year-to-date 2013 crude sales of 1.013 million net barrels were 19% lower than the 1.248 million net barrels sold during the first nine months of 2012. The average price we received for sales over the first nine months of 2013 was $108.06, a 3% decrease from 2012 where the average price was $111.79 per share. Lower sales volume is obviously a function of production. Inventory onboard the FPSO at September 30th of both 2013 and 2012 was very similar in both periods. Both periods we have a substantial inventory aboard the FPSO in -- actually in excess of 600,000 barrels in both periods. So that sets up quite a few barrels to be lifted in the fourth quarter, which we did a year ago and we expect that will happen again this year. Back to the decrease in production as the driver behind the lower year-to-date revenues, the main item of the production decreases really a production deferral that was due to the shut-in of two of the three producing wells in the Ebouri field due to the presence of hydrogen sulfide. We shut-in those two wells in July of 2012. Plans are moving forward for the engineering and ultimately the building an installation of H2S processing equipment and the current timing for being able to restore full production from Ebouri field is in 2016. To a lesser extent, other items have negatively impacted production as well. We have had three wells off production for portions of 2013 for the replacement of electrical submersible pumps and anytime we are moving the rigs in the proximity of our platforms, we curtail production while the rig is being moved on and off location. We reported last quarter that we were also experiencing some generator issues on the Avouma platform and this also had an impact on production. The generator repairs have not been completed by the end of third quarter and any remaining production decline is attributable to -- essentially normal decline as the older wells mature. Revenues from the United States, which is really primarily the Granite Wash property in Texas are not material and the details of the volumes and values for those are included in our 10-Q. Next let me move back to expenses, I mentioned earlier that the three key drivers during the quarter were production expenses, exploration expenses and taxes. Production expenses were $12.6 million in Q3, 2013, compared to $5.9 million in quarter two 2012. Expenses in the third quarter of 2013 include $2.1 million of well workover costs, $1 million associated with deck boiler repairs aboard the FPSO and that deck boiler has now been completed and that $1 million is actually comprised of repairs and in fact that we have to burn heavy fuel oil when the deck boiler is not available to us. Ordinarily if using free natural gas from our production stream. So it’s important we get that piece of equipment back online and like I said it is back online. We -- the generator repairs, I mentioned, on the Avouma platform set us back $0.8 million. We spent $0.7 million to temporarily suspend the two shut-in wells on the Ebouri platform and we also spend 0.8 million which is -- well it’s a reevaluation of the crude that’s held onboard the FPSO’s inventory. So all those items that I just mentioned contributed to a higher than normal quarter of operating expenses, I would expect that these items will not be repeated in the fourth quarter. Exploration expense during the third quarter of 2013 totaled $11.1 million, compared to $700,000 for the same period in 2012. The main components of the quarter three 2013 number are $6 million associated with the unsuccessful Obaka exploration well offshore Gabon and we also recorded $3 million in dryhole costs for an exploration well that we drilled in late 2012 in Montana. During the third quarter, we determined that the company would not proceed with further completion activities on the well. We have a partner in that development and the partner has actually proposed further completion activities and we’ve declined to participate in that and as such we have gone ahead and recorded our investment as a dry hole cost. We also recorded $2 million in write-off of undeveloped exploration leaseholds and this was primarily an undeveloped piece of acreage in the Granite Wash in Texas. DD&A expense was lower at $4 million, compared to $4.9 million in Q3 versus Q3 of the year ago, due to the lower sales volumes that I discussed earlier. G&A expenses are in good shape at $1.9 million in Q3 2013 versus $2.5 million in Q3 2012. Income tax expense was significantly lower in the third quarter of 2013 than in the same period 2012 and those numbers are $5.7 million versus $14.2 million. As in the other quarters in 2013, the high level of capital expenditures as well as our operating expenses has kept our cost account at very high levels. And many of you are aware of how that process works where we are reimbursed through the crude that we sell, up to 70% of that volume is available for cost recovery. So when you’ve got a lot of investing taking place, a lot of the barrels are coming back to VAALCO and its partners as cost recovery and those do not bear income tax. So anyway most of the barrels sold during the quarter were cost oil barrels and as such, again, do not bear Gabonese income tax. We expect to continue to see low income taxes for the remainder of the year and into 2014. I’d probably get more calls after this call with regard to tax rates and tax information. I thought maybe I’d just run down real quickly some numbers for you. I took a quick look and just went back several years and looking at tax as a percent of Gabonese revenue. Here, we’ve got the Gabonese revenue and then how much of that revenue goes back in the form of income tax. And again, here is where you’ve got a lot of investment that number is always going to be lower. Where you don’t, the opposite is true. But I’m just going to read through a series of percentages going back to 2007. 2007, 38% of the Gabonese revenue was paid in income tax and then 43%, 32%, 26%. In 2011, it was 44%, so that gives you an indication that there wasn’t an incredible amount of investing going on during that period. In 2012, the same case, 42% and thus far in 2013, 22%, that’s why we are seeing the low Gabonese taxes. And as we continue to invest in the construction of our platforms and with the number of wells that we have been drilling, we have kept that cost count really full this year. Moving on to net income, I did mentioned earlier, net income for the quarter ended September 30 was $2.4 million compared to $0.1 million for the same period in 2012. Earnings per share again, $0.04 that compared to $0.00 and for the nine month period net income of $16.7 million, was slightly lower than the same position a year ago at $19.6 million. Earnings per share, $0.29 compared to $0.34. With that, let me turn it over to Russell Scheirman for an operational update.
Russell Scheirman: Thanks, Greg. I would just like to provide some additional information on the upcoming two-well program at Etame, the status of the two platforms we are building for Etame and then briefly touch on our onshore Gabon, Mutamba project, Equatorial Guinea and Angola At Etame, we are currently producing 18,000 barrels per day, which is up about 1,000 barrels a day from where we were at the end of last quarter and I will talk about why that is in a minute. On the drilling side, we have completed our six well drilling and workover program with a 350-foot jackup rig, Ben Rinnes owned by KCA Deutag. As we noted at the last conference call, we successfully drilled and completed the Avouma 3H well and it’s producing just under 2,000 barrels per day. We also completed two workovers on the Avouma platform. The generator problems that we talked about last quarter at Avouma had mostly been solved, which has allowed us to return one of the two wells that we were holding off production, while those generator problems were being taken care of on the production. Unfortunately, when we attempted to return the second well to production, we encountered problems which we believe are related to the casing in the well. We believe we’ve got part of casing in that well. And we are currently studying this issue to determine if the well can be restored or if it will require sidetracking. We then moved the rig to Ebouri where we discussed the successful workover on the Ebouri platform last quarter in the dry hole on the Ebouri prospect. This quarter, we also announced that the Ovoka open water well encountered only water bearing formation and the Gabon was abandoned. The rig is currently on a two well program with another operator in Gabon. It’s on the second of those two wells. The consortium has decided to exercise our option for two additional wells, so that rig will be returning to us we believe at about mid-December. The first of the wells will be an exploration well on a prospect named Gamba. There are two potential objectives in this well, the Gamba. You see a closure in the Gamba and the deeper Lucina formation, which would be a new horizon for VAALCO if we are able to find oil down there. There is existing nearby that is operated by Perenco, so they are proven Lucina revenues in the area. The risk in the Gamba is primarily sub-salt structuring. In the Lucina, the risk is presence of good quality sands. They are turbidite in nature and they tend to meander, but the seismic signature that we see on the seismic over this prospect is very similar to the signature we see on offset wells that had good sands in them. So that’s what’s encouraging us to go ahead and test this prospect. Potential reserves from this prospect on a gross basis range from $15 million to $40 million barrels, depending on whether one, two or both reservoirs are successful. For the second well, we’ll be returning to the Avouma platform to work over the Avouma 2H well. We experienced a premature pump failure on that well. And even though the well is on production, since it’s the best well in Avouma, we believe it’s prudent to go ahead and replace that pump so that we’ll have two good working pumps, since we do not plan to have another rig out in the field until the end of 2014. Moving to the platform construction for Etame and the Southeast Etame, North Tchibala development, we remain on schedule with the fabrication of these two platforms at Gulf Island in Houma, Louisiana. We’re past the hurricane season now, which increases our confidence in finishing these platforms on time. As I’ve described before, one platform would be installed at the Etame field where we’ll drill up to three -- we will drill three to five new wells on that platform over its life. The second production platform will develop the Southeast Etame discovery and the North Tchibala discovery. The North Tchibala discovery also contains a gas resource, which will be valuable for fuels in the later life of the Etame complex. The platforms will be installed by a company called, EMAS, based in Singapore. They’re going to be using a new installation vessel with 3,000-ton lifting capacity to install the jackets and the decks in the third quarter of 2014. They’ll also handle the pipe laying project and connect these platforms to the FPSO. I can report to you that we have also located a rig which is available at the same time as the completion of the installation of the platforms. So as it stands now, we anticipate being able to commence drilling as soon as the platforms are drill ready. Each of these platforms represents about a $40 million net investment to VAALCO plus the cost of the wells, which run at about $7.5 million each to VAALCO. But with these two projects, we expect to maintain production at or above 20,000 barrels a day through 2016. Greg mentioned that the front-end engineering design for the sweetening facility is ongoing. We expect the sweetening project to reach final investment decision by year-end 2014 with the facilities in place by 2016. With that, I’ll move to Mutamba onshore. We have filed for the exploitation agreement and are continuing to discuss this with the government of Gabon. We hope to conclude those negotiations this year with them being able to get a development plan approved shortly thereafter and move forward to tie the field back to a field that’s nearby that’s operated by Total called the Atora Field. It’s about 5 miles from the N’Gongui [Lou] Discovery. We’re also negotiating an extension of the exploration area with an additional three-year phase. That’s it for Gabon. In Equatorial Guineas, we have a 31% interest in a provisional development area in Block P. That block is currently operated by GEPetrol with a 58.4% interest and there’s two other partners with about 5% each. There is an existing discovery called the Venus discovery ,which is a 300 foot oil column in a channel sand that was delineated by a couple of wells and it’s about an 800 feet of water. We see additional channel sands nearby that we would like to commence the two well drilling program after we work out arrangements with GEPetrol over operatorship. And Steve is going over there next week to talk to them about that. In Angola, we have a two-year extension until November 30, 2014 on our acreage there. And Steve mentioned that we had received communications from the concessionaire of their proposed team to reactivate the interest, which has been in default for the past several years. Once that is completed, we will immediately pursue the drilling of a sub-salt prospect in 400-feet of water using a semi submersible drilling rig. And we’re also discussing a second well and potentially the acquisition of some deep water seismic with Sonangol where we see some structure similar to the ones that were drilled by cobalt in their Kwanza basin discoveries. With that, Steve, I’m going to turn it back to you.
Steve Guidry: Okay. Thanks, Russell. Just sort of close things out. Just to mention a few of the things and kind of highlight and summarize some of what we’ve heard about sort of the future and what we see in the near-term and then in the longer-term for VAALCO. Greg mentioned it but our internal estimates suggest that our full year 2013 performance will be strong on the back of the four liftings in the fourth quarter of 2013 at Etame. This combined with the increased capital spend will certainly result in the lower tax rate, as Greg mentioned, for total 2013. And that will have a positive impact on our financials. Our team continues to make great progress with the construction of the two platforms, as Russell mentioned and we believe that that sets us up for a very strong 2015 production performance. I’m very pleased with what I’ve seen to this point with the demonstrated ability to progress both the development projects and the exploration prospects that Russell mentioned, with the Dimba being our near-term example of that, which we would hopefully -- we plan to spud by December -- in December 2013. So we’re encouraged by the potential for Dimba. We’re encouraged by the progress we are making at Angola and E.G. both. And we believe that all of these results in a great value-add for the VAALCO portfolio, so a lot of positive things happening in VAALCO currently. So, with that, what we’d like to do is now just open the conference call to questions.
Operator: (Operator Instructions) And we do have a question from the line of Brad Heffern, a private investor. Please go ahead.
Brad Heffern: Hey, guys. It’s Brad Heffern with RBC. Congratulations on your new role, Steve. Just a question on Angola, I was wondering if you could provide some context as to whether the process that’s currently going on is similar to the sort of farm-out path that you guys were taking or if Sonangol has decided to just approve things in a more standard way that they were talking about before. And also, I think, maybe, I heard in the prepared comments, Steve, that you said partners. I was wondering if that is your preferred partner in Sonangol or if there’s another partner being added to the mix? Thanks.
Steve Guidry: Thanks, Brad. I appreciate that. The indications that we’ve received from the concessionaire of Sonangol E&P sort of laid out the plan as they currently have it envisioned. We are currently not really at liberty to talk about exactly what that plan is. So, unfortunately, we can’t say any more than that. I will tell you that my experience has been when Sonangol E&P reduces to writing their intention that typically you’ll find it in a fairly short order. They follow up on what they say, so we’re encouraged by that. We will just have to wait and see exactly what they do and how they formalize their plan before we really say anymore about how then we move forward. But we are confident that their plan does clear the way for us to move forward.
Brad Heffern: Okay. Understood. Talking about onshore, Gabon, can you talk a little bit about what the current negotiations are discussing, is it still over this proposed industrial zone that you guys talked about last quarter, is there something else going on?
Steve Guidry: Yeah. It’s basically just about some changes they want to make to the production sharing contract that we’ve just got to iron out with them. And so we were going to meet with them this week. Unfortunately, I had a conflict and was not able to go, so we pushed it back another couple of weeks and I intend to go over there just as soon as I can to see if we can put this thing into bed. But we had a meeting with Total this week and they’re excited about the project. This is one of their first onshore discoveries in Gabon in over a decade. So they are anxious to keep the project moving. So they are helping us behind the scenes.
Brad Heffern: Okay, got it. And then finally, Steve you know in your prepared comments you talked about more of a balanced growth strategy for VAALCO in the future. You know respecting that you guys are going to put out more detail over the coming months. I was just wondering if you could provide a little more color. Does that mean, you know, just more focus on exploration or does that mean adding new assets, any color you’re willing to provide? Thanks.
Steve Guidry: Sure. Thanks Brad. I appreciate that. One of the things that I quickly came to realize after joining VAALCO is really the remarkable job that VAALCO has done in continuing to develop additional reserves at Etame. If you look at the history of Etame over the last 10 years, VAALCO has done a wonderful job of finding additional resource, developing that resource, adding reserves, adding production and that for the most part kept that FPSO at or near capacity which has been a pretty phenomenal effort. So looking forward you ask yourself, what’s next, how does -- how might VAALCO then capitalize off of that competency and build rates. Well, when you think about adding additional rigs and reserves, first thing that comes to mind of course is the project we have in front of us, Southeast Etame, North Tchibala and the Etame platforms. And so that’s great but I think the real key is how do we then duplicate that and bring additional opportunities forward. Well the logical place to look in the near-term is EG and Angola where we have very perspective blocks. However it’s my view that it would make sense for VAALCO to balance that growth strategy by looking at discovered resource opportunities, maybe even looking at producing assets to give us greater certainty around the production growth and around the reserve growth and look to temper to some extent being totally reliant on exploration success as the growth engines for VAALCO. So that’s sort of the -- strategically that is kind of the view that we have at this point.
Brad Heffern: That’s great. Thank you.
Operator: Next we will go to the line of Bill Dezellem with Tieton Capital. Please go ahead.
Bill Dezellem: Thank you. Actually following up on that last comment relative to Etame, the two new platforms that are going in, do we understand correctly that the outcome there will likely be to maintain production at the field and offset decline rates as opposed to growing production in that field?
Robert Gerry: Well, it will grow it back to peak levels that we saw back in 2010 and 2011. We currently are producing around 18,000. We anticipate in the range of 15% to 20% decline now and when we start bringing these new wells on. But then we’ll rapidly push it back up over 20,000 barrels per day and perhaps as high as 22,000, 23,000 barrels a day depending on how the FPSO behaves. And we should be able to hold it there for a year plus and then we will actually expect to have a little bit of surplus production capacity that will then ease into, as other wells decline. So we’re always limited by the FPSO which can handle more than 25,000 barrels of oil a day no matter what we do so…
Bill Dezellem: And given what you know right now, what would be your anticipated time frame to get actual production back up to that 20,000 plus level?
Robert Gerry: The first half of ‘15.
Bill Dezellem: All right. That is helpful. Thank you. And then secondarily, I believe that there was reference about Sonangol and when they put their plan in writing then it’s really is solid . Have they put their plan in writing yet and I apologize if you actually did say that I missed it?
Steve Guidry: We have received -- this is Steve. We have received correspondence from Sonangol that exclusively indicates what they plan to do with the 40% interest that has been the subject of our discussions with them. So it’s really -- we are in a position now where we are waiting for them to act on that plan. And we believe that they have already begun to take action so -- but we need to see that that has been codified and documented and that’s what we are waiting on.
Robert Gerry: Yes, this is the first time that they’ve ever given us anything in writing. They’ve always talked to us about what they might do or this or that but they’ve actually given us something in writing this time. So we think that’s a big step.
Bill Dezellem: Thank you, both.
Operator: Next we will go to the line of Eric Anderson with Hartford Financial. Please go ahead.
Eric Anderson: Yes, if I could just follow-up a little bit on the -- your plan to sort of have more development of proven reserves as opposed to the entire exploration focus. Are we to assume that this would still be sort of in the Western Africa area or might you look at developing reserves in other locations either there or in the United States?
Steve Guidry: This is Steve. A fair question. Just today, I guess I complete my third week on the job but I have been -- that has been a question that we’ve been asking ourselves regularly in the first three weeks and working closely with the team here. What we are doing is putting together kind of a higher level of strategy review that we will be taking to the board. And that will allow us to then sort of come to agreement between the management team and the Board as to exactly where we prefer to look for these developed -- discovered resource opportunities or producing asset opportunities. It has been my experience that when you look everywhere you’re essentially looking nowhere. And so what we will do is we will arrive at what we think is the best option for the company and then we will increase our efforts around looking for discovered resources or producing assets in that particularly area. So it’s -- to this point that’s undecided.
Eric Anderson: And as a follow-up, would you have a preference for them being offshore or might you consider onshore in that area, Western Africa?
Robert Gerry: I think, at this point it’s not decided. At this point, we’re still open to either.
Eric Anderson: Okay. I appreciate you taking my question.
Robert Gerry: Well, thanks, Eric.
Operator: (Operator Instructions) Now we’ll go to the line of [Neil Nelson with M&I]. Please go ahead.
Unidentified Analyst: You touched on the Lucina sands in the drilling of the Ovoka well and weren’t successful. And I believe someone has said that you’ve never seen oil that far south in the Lucina sands in Gabon. And I noticed you’re going back again on the Dimba. Does the seismic tell you something different about these particular sands?
Robert Gerry: Yes. The seismic signature on the Lucina formation where we’re drilling this well is very similar to the signature we see in some nearby offset wells that have had good sands in them. They were wet sands. I’ll tell you that, but they weren’t on structure either. We have a structure that we see in the Lucina. So that’s what’s encouraging as to take the well deeper. I will mention that in the past you may have heard us talk about a thing called the N Lead that we shot some shallow water seismic on back in 2011. When we finally got that thing processed under 3D, there is a Lucina structure down there but there was no closure in the Gamba. And so we decided not to drill that prospect, because the Gamba is always good if you find it. And if there was no Gamba structure, going just for the Lucina sands we felt would have been too high a risk. But this Dimba prospect has a Gamba closure per the way we map the seismic. And then if the Gamba works, that’d be great. We will then take it on down into the Lucina to see if there is sand down there. So we’ve got two chances at the apple here rather than just one.
Unidentified Analyst: And for your CapEx for 2014, do you still have any plans to use debt financing to -- as you start to see this big surge in CapEx for the platforms and wells that are going to be drilled or associated with that plus the Angola, Guinea activities potentially?
Robert Gerry: We are working to develop a standby revolving debt facility that we can use for these Gabon projects, just as a backup to ensure that we have plenty of cash depending on the outcome of some of these other things that we’re doing.
Unidentified Analyst: Okay. Thank you very much.
Operator: And next we will go to the line of Joe Pratt with Wells Fargo Advisors. Please go ahead.
Joe Pratt: Hi, thank you for taking my call, Steve. Can you address what appears to be a holdup in getting the Mutamba situation clarified?
Steve Guidry: Yes, let me ask Russell who has been more involved in Mutamba, let me ask him to handle that.
Russell Scheirman: Were you on when we had an earlier question about that?
Joe Pratt: I apologize, I just joined the call.
Russell Scheirman: Okay, no problem. The issue there is that the DGH, as part of our application for the exploitation area, has brought up some additional taxes, if you will, what they are call, it’s called a production fund that they want us to contribute towards in a couple of other things that they are doing to the production share contract that weren’t in our original contract. And we are having to go through these with them because our position was we have a contract and we are now declaring an AEE and then where did these ideas come from. So we are discussing these. They are not huge numbers but there is Presidents involved. And so we feel like we need to get this resolved in a manner that’s fair to us as the contractor. I was supposed to go over there this week to meet with them about this issue. But unfortunately, I was not able to and I’m hoping to get over there in the next few weeks to sit down with the Director General of Hydrocarbons and try to iron these things out. We had the Minister and the Director General here in Houston a few weeks ago to tour the construction of the Etame platforms. And we had some conversations about this. And I have looked at Director General in the eye and said we’ve got to get this solved and he said well, you need to come to Gabon. So we’ll see hopefully we can get it solved.
Joe Pratt: Okay. Thank you. And are you and Total negotiating that together or separately?
Russell Scheirman: We are consulting with Total. We do not have them in the room per se since we are the operator. But we meet with them before and after in each of these sessions. So they are up to speed and we are getting -- their position is probably stronger than VAALCO’s on some of these things. So we are having to kind of work through with them how we get this sorted out.
Joe Pratt: And lastly, I apologize if this has already been answered but on Equatorial Guinea and Angola, have your partners been identified and in those two situations whether you and the partners are going to be the operator?
Steve Guidry: Joe, this is Steve. With regards to Equatorial Guinea, we have meetings with GEPetrol, the national oil company of Equatorial Guinea next week to discuss an arrangement in which we would essentially share operatorship of Block P. So we will have those conversations next week. We will be meeting with both GEPetrol and with the minister to discuss this arrangement. In Angola, VAALCO is the operator in Angola. The partner -- I don’t know if you were on the call but exactly who we end up partnered with, I think will become very clear in the coming weeks. Right now, Sonangol E&P has a plan that we just at this point can’t share until we get that plan finalized.
Russell Scheirman: They did give us a plan in writing which is the first time they have ever done that.
Joe Pratt: Okay. Thank you.
Operator: There are no further questions at this time.
Robert Gerry: Okay. Well, let me thank, everyone, then for your time and your attention this morning. We appreciate your interest in VAALCO and we look forward to getting back together to talk about our fourth quarter successes next year.
Operator: Ladies and gentlemen, that does conclude our conference for today. You may now disconnect.